Operator: Good morning, ladies and gentlemen. Welcome to the Compañía de Minas Buenaventura S.A.A. Fourth Quarter 2025 Earnings Results Conference Call. At this time, all participants are in listen-only mode, and please note that this call is being recorded. I would now like to introduce your host for today's call, Mr. Sebastian Valencia Carrasco, Head of Investor Relations. Mr. Valencia Carrasco, you may begin. Good morning, everyone.
Sebastian Valencia Carrasco: Thank you for joining us today to discuss our fourth quarter 2025 results. Today's discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez Vera, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Massa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; Mr. Renzo Macher, Vice President of Projects; Mr. Juan Carlos Salazar, Vice President of Geology and Exploration; Mr. Aro... Guernæus, Chairman; and Mr. Raul Benavides, Director. Before I hand the call over, let me first touch on a few items. On Compañía de Minas Buenaventura S.A.A.'s website, you will find our press release that was posted yesterday after the market close. Please note that today's remarks include forward-looking statements that are based on management's current views and assumptions. While management believes that these assumptions, expectations, and projections are reasonable in view of the currently available information, you are cautioned not to place undue reliance on these forward-looking statements. I encourage you to read the full disclosure concerning forward-looking statements within the earnings results that was issued on 02/26/2026. I will now turn the call over to Leandro Garcia.
Leandro Garcia: Thank you, Sebastian. Good morning and thank you for joining us today to discuss the quarterly results of Compañía de Minas Buenaventura S.A.A. at the year end. On Slide 2 is our cautionary statement, important information that I encourage you to read. Today, we will talk about our 2025 performance, our main achievements, and our priorities for the year. After the presentation, we will be available for our Q&A session, where our team will be happy to answer your questions. The next slide, I will start by providing a summary of our strong results for the year. Copper production in the full year of 2025 reached 52,400 tons, down 8% year over year. This was mainly because Compañía de Minas Buenaventura S.A.A. processed stockpiles with higher precious metal content following a sharp increase in precious metals at El Brocal. Silver production reached 15,600,000 ounces, 1% higher compared to the 15,500,000 ounces produced during the same period last year, in line with our annual expectations. Gold production was 121,000 ounces, down 18% year over year, mainly due to lower output at Orcopampa and Tambomayo, consistent with the 2025 planned mining sequence. EBITDA from our direct operations in full year 2025 was $112,000,000, which represents an 88% increase compared to the $431,500,000 in 2024. Net income for the full year was $1,830,000,000 compared to $416,000,000 in 2024, which included $157,300,000 from the sale of Chaupi Loma. The year ended with a cash position of $530,000,000 and total debt of $710,000,000, resulting in a leverage ratio of 0.22x. Moving on to San Gabriel. As of now, San Gabriel has reached 99% overall progress. CapEx for the project in 2025 was $153,000,000, primarily allocated to the completion of the processing plant construction. After the quarter ended, on January 29, 2026, Compañía de Minas Buenaventura S.A.A. received $98,000,000 in dividends from its stake in Cerro Verde. Finally, the Board approved a dividend of $0.9904 per share. With this approval, total dividends declared over the past twelve months reached $1.0135 per ADS. Moving forward to our 2025 guidance. Regarding gold production, our primary focus is on San Gabriel, which is expected to become our main gold-producing asset in coming years, playing a key role in our long-term growth strategy. We anticipate stable copper and silver production at both El Brocal and Uchucchacua–Yumpa, maintaining consistent output levels. For 2025, we expect total CapEx of between $385,000,000 and $415,000,000. Around $200,000,000 to $220,000,000 will be sustaining CapEx, mainly focused on mine development, tailings, and ventilation upgrades at Uchucchacua and Yumpa, as well as readiness and ramp-up works at San Gabriel. Growth CapEx for 2026 is expected to be between $185,000,000 and $195,000,000, mainly focused on the completion of San Gabriel and advancing Trapiche and Algarróbos. Moving on to the cost applicable to sales trend. Copper cash costs increased in 2025, mainly due to higher personnel costs driven by improved profitability, increased cement consumption, and foreign exchange impacts at El Brocal. Silver cash costs increased due to higher commercial deductions at Yumpa, non-payable value, and escalators. Additionally, there was increased ore throughput, partially offsetting lower grades at Uchucchacua and Julcani. Gold cash costs have increased due to lower throughput, reducing the scale efficiency at Orcopampa and Tambomayo. On the next slide, we will present free cash flow generation. The fourth quarter cash position increased during the quarter, mainly driven by net cash inflows from operating activities. I would like to highlight a key milestone achieved last December. We produced our first doré bar at San Gabriel, and we have received the initial operating permit. The water license is expected in the coming weeks. For 2026, our production guidance is between 48,055 gold ounces. There are still some pending milestones to achieve full potential. This includes the expansion of tailings drying areas and upgrades to the ventilation system. We expect to complete these milestones to enable a stable 2,000 tons per day throughput in 2026 and continued ramp-up. San Gabriel's cumulative progress has reached 99% overall completion by April 2025, primarily driven by finishing 98% of advances. On the next slide, we are showing the processing plant's progress: the primary crusher mechanical works at 100%; the SAG and ball mechanical works are at 100% also; and finally, the sealed tanks mechanical works are at 100% completion. Moving on, we can see the progress of the main components of the plant. Moving on to Slide 9, we are showing the progress made at the filtered tailings plant, which is now complete. To conclude the presentation, I would like to share a few final thoughts. Consistent copper and silver output is supported by steady operations at El Brocal, Uchucchacua, and Yumpa, ensuring operational reliability. Solid performance from affiliate companies: Coimolache is operating at full capacity, while Cerro Verde distributed $98,000,000 in dividends attributable to Compañía de Minas Buenaventura S.A.A.’s stake. San Gabriel has entered its transition phase, moving from project execution to ramp-up during 2026, positioning the operation to achieve a stable 2,000 tons per day throughput in 2026. A supportive environment allows us to step up exploration investment to reinforce our reserves and resources base while advancing progressive closures to enhance efficiency. Strong cash flow generation, a solid balance sheet, and disciplined capital allocation enable us to return value to shareholders, reaffirming our commitment to investor returns. Thank you for your attention, and I will turn the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question-and-answer session. To ask a question, dial in by phone and press star then one on your telephone keypad. The first question comes from Carlos De Alba with Morgan Stanley. Sir, your line is live. Please proceed with your questions.
Carlos de Alba: Yes, good morning, everyone. Thank you. So first one is maybe on CapEx. Leandro, significant increase on CapEx versus what expectations are in the sell-side consensus and also, and probably more intriguing, versus what you guys told us just a few months ago in your Investor Day. So maybe can you please provide some detail as to what happened those last months that led the company to significantly revise all the CapEx. I have a couple of other questions.
Leandro Garcia: Thank you, Carlos, for your question. Mainly, primarily in San Gabriel, the pending works are related to earthworks and continuing for the ramp-up of the project. Maybe Renzo can explain the pending issues to be resolved and have the production steady.
Renzo Macher: Yes, sure. Hi. Yes. Effectively, we have some remaining works on earthworks, especially after the rainy season, where all the water systems and the roads are starting to be tested with rain. So there are some minor semi-failures that we need to cover and fix, and some channels to redirect water that are going to need additional care. And we need to continue with the routing for the water dam, for the last part of the routing. So that, plus closing some contracts for some additional quantities and material in the plants. That is already finished.
Carlos de Alba: And all these things, you just evaluated or discovered them as the ramp-up started?
Renzo Macher: Well, when we finish the earthworks, it is still untested. We are currently in the middle of the rainy season. So you keep finding things that can be improved or that need some extra work to be finished. There are certain roads that are not working as expected, and we need to do alternative roads in some areas to be accessed with that.
Carlos de Alba: But anything major? Okay.
Carlos de Alba: Alright. Thank you. And then on San Gabriel, thank you for the color on the ramp-up. Just maybe what is behind the lower guidance for production this year? Similar, I guess, to CapEx, a little bit of a surprise given that just a few months ago, you guided to a higher number.
Leandro Garcia: Yes, Carlos. As we anticipate, we continue working in the ramp-up and putting all the things in order to reach by phases the production of the design plant. We are going to reach the 3,000 tons per day next year. We are making all the efforts to reach this as soon as possible, but we foresee a production of 2,000 tons per day all this year. Actually, we have to improve the ventilation in order to work in the high-grade areas. We have a little flexibility in the higher-grade areas, so we are planning to work only in three galleries. Well, maybe Juan Carlos can give the exact explanation of the components of our production.
Juan Carlos Ortiz: Yes, Leandro, thank you. Well, number one, as you mentioned, are all the components that are still pending for construction and permitting. We will finalize the construction and get the final operational permits by the second quarter of this year. At that time, we will have all the area for drying the tailings and for compaction of the tailings inside the reservoir all set up. We have partial permits already set up for commissioning, and we have to have the definitive permit by the second quarter of this year. In addition to that, the mine is really scaling the production plan because after the accident that we had late December last year, we need to redesign the ventilation sequence. We need to triple the amount of air pressure that we need to push into the galleries in order to dilute all the gases that we have underground. In order to do that, we are bringing more ventilators, more fans, more electrical devices in order to power this equipment. And the consequence of that, also, in order to have a higher control of the ventilation and the risk linked to gases underground, is that we are losing part of the flexibility that we expected to have in 2026. The flexibility in order to mine high-grade areas in six different levels—now we are to be restricted to mine only in three levels. So by throughput, it will be the same. By gold grade, it will be lower. We are not mining high-grade areas; we are going to be restricted to three levels in which we need to mine the high grade and the average grade to complete the throughput that we compromise with the processing plant. The main reason, therefore, is the lower grade that we are mining in this initial year 2026.
Carlos de Alba: Thank you, Juan Carlos. Sorry. And then maybe one more: with a very significant increase in gold and silver prices—I mean, others as well—but is the company foreseeing any changes in the mining plan that was presented late last year, and maybe the guidance will change? Can you offer some color there?
Leandro Garcia: No, we have reviewed the mining plans of all our operations. The only change we have realized is at San Gabriel. In copper, we still have the same objective, and silver also.
Carlos de Alba: Thank you. I will get back in the queue. Thank you.
Operator: The next question is from Tanya M. Jakusconek with Scotiabank. Please go ahead.
Tanya M. Jakusconek: Great. Good morning, everybody. Thank you for taking my questions. Just if I could finish off on San Gabriel. I just want to make sure I understand. Of the growth capital of $185,000,000 to $195,000,000, how much of that is San Gabriel? And what is going to the earthworks and what is going to ventilation?
Leandro Garcia: Thank you, Tanya. Thank you for your question. Maybe, Renzo, you can—you have figures there?
Renzo Macher: Yes. Hi. Thanks for the question, Tanya. From that, in terms of Gabriel, it is going to be like $160,000,000. That includes the closing of all the contracts that we have—that is probably half of that—and the other half is additional work in the earthworks. I think the ventilation is more in the sustaining CapEx.
Tanya M. Jakusconek: Okay. So you have put it there. Okay. Understood. And maybe if I could just get Daniel to just give me some more guidance. I found that exploration and G&A was lower than I expected in Q4. Can you give me some guidance on G&A for 2026, exploration, and dividends from Yanacocha, including the dividend payout, whether you are reviewing that with your board meeting in March?
Daniel Dominguez Vera: Thank you for the question, Tanya. The G&A that we expect for the entire 2026 will be around $60,000,000 to $70,000,000, which is similar to what we reported in year 2025. This increase compared to previous years is because of the workers' participation in profits, number one, and number two, due to the stronger Peruvian currency. Then for explorations, we have the explorations in the mining sites, in the operating sites, which will be around $60,000,000 to $70,000,000. We have increased our budget in explorations because we are focusing on more labores in San Gabriel, El Brocal, and Uchucchacua–Yumpa. And also in the non-operating sites, we will be disbursing some cash for the other projects that we have—greenfield projects—and this will be around $20,000,000 to $30,000,000. Our total budget for explorations is between $90,000,000 and $100,000,000, compared to the $70,000,000 that we have been disbursing in the past. And finally, for dividends, what we expect to receive from Cerro Verde this year is around $200,000,000, a little bit higher than what we received in year 2025. And what we decided at the board meeting yesterday was that we were going to pay, for this time—as the prices are going well and our CapEx for San Gabriel has basically been completed—we will pay 40% of the net income of the previous year, from 2025. Remember that our dividend policy is not less than 20% of the net income of the year. We have increased that to 40%, and we will continue evaluating in the future depending on prices and also on our CapEx program.
Tanya M. Jakusconek: Okay, thank you for that. And then just maybe my last question comes on permits and just on Cañariaco sulfides. So we are still looking for that study to come out in Q1 on the Cañariaco sulfide—no, I think it was H1—the conceptual study on the project. And then on the permitting side, just on San Gabriel, I know we are waiting for this water permit. What is taking so long? And then asset sales, if I could. Where is that going on some of your asset sales? Are we hoping to get those done this year?
Leandro Garcia: Thank you, Tanya. For the first question, at Coimolache, we are just ending the study. We have to discuss internally with the sovereign and the escrow, which are the following steps. We should inform the market in the first half of this year what are the following positive news for the project. So we continue working on that, but we have to put it on the Board of Coimolache and get the approval to continue. In terms of San Gabriel, the authority has already visited us. We are just waiting for the permit to be signed. In the following couple of weeks, we hope to be granted this permit. And the last question about—The asset sale. Yes. We continue evaluating this asset. We are in the last part of making a decision, and as soon as we arrive at a conclusion, we will inform the market.
Aldo Massa: Yes, Tanya, we will make a huge analysis about the asset sales. We have not taken a decision yet on whether we are going to sell or not. But you have to take into consideration that this increase in precious metals prices really makes you think a lot if you want to sell or not an asset right now. But we are still analyzing, and we will take a decision very soon.
Tanya M. Jakusconek: Okay. Okay. Thank you.
Operator: The next question is from Cesar Perez-Novoa with BTG Pactual. Please go ahead.
Cesar Perez-Novoa: Yes. Good morning. My question relates to Yumpa and Uchucchacua. Could you comment on why cost applicable to sales rose 616% in the quarter? I believe you attribute this to larger throughput of a low-grade mineral, but also there are some commercial deductions, and you also mentioned increased non-payable value. Can you please explain what this is? And my second and final question would be regarding guidance. Thank you for G&A and exploration data, but it would be really useful if you could complement this, if possible, with revenues and EBITDA for 2026. Thank you.
Leandro Garcia: Happy to count on your questions. Maybe I will explain a little bit about the deductions and the escalators. Aldo, please go ahead.
Aldo Massa: Cesar, thank you very much for your question. We have two main reasons here. The first one is when you sell silver concentrates with less than 2,500 grams, usually the payable for that concentrate is between 60–70%. When you sell silver concentrate with higher than 2,500 grams, the payable is between 90–95%. In the last quarter, we produced more silver concentrate with lower grade. That is why the deduction is a lot more. And the other reason is the escalators. We have escalator clauses in our contracts, and due to a sharp increase in the price of silver, right now these escalators are applying to the contracts. What does it mean? If the upper range of the escalator is $50 per ounce and the price of silver is $100, you apply a percentage of the price. You understand?
Cesar Perez-Novoa: Yes. Yes, I do. I do. Alright. Okay. So those would be the two main reasons why the cost is high. Early.
Leandro Garcia: Does that answer your question, Cesar?
Cesar Perez-Novoa: Yes. And if possible, could you provide some guidance for EBITDA or revenues?
Daniel Dominguez Vera: Hello, Cesar. Thanks for your question. If we consider prices at levels of $4,500 for gold, $70 for silver, and $12,000 for copper, we should be in the range of revenues of $1,800,000,000 to $2,000,000,000. This includes close to $100,000,000 of sales from the concentrate that we buy from Cerro Verde from Freeport. And the EBITDA that we expect for the total year will be around $800,000,000 to $1,000,000,000.
Cesar Perez-Novoa: Alright, Daniel. Thank you very much.
Operator: The next question is from Fernando Gil with Ingheso Sao Paulo. Please go ahead.
Fernando Gil: Hi, thank you for taking my questions. Just a quick question regarding the Investor Day targets. I remember you announced that three mines are under strategic review—Orcopampa, Tambomayo, and Julcani. Could you tell us what is the current status of these mines? And are you starting to do some action separately or together? And has there been any formal process for any kind of sale? Yeah, that would be it. Thank you very much.
Leandro Garcia: Thank you, Fernando, for your question. Well, we already began the process and are analyzing the feasibility of selling these units, these mines. However, as Aldo explained minutes before, with the increasing prices of gold and silver, we are reanalyzing the possibility. We have continued advancing on this process. We are close to making a final decision, and if they will be sold each unit separately or as a whole. We are open to all the possibilities, but for now, the higher alternative—if we sell—is to sell them separately.
Fernando Gil: Okay. Thank you.
Operator: The next question is a follow-up from Carlos De Alba with Morgan Stanley. Please go ahead.
Carlos de Alba: Yes, thank you. Just on dividends, like the $0.99 per share approved by the Board—when do you expect to pay that? And also the $200,000,000 in expected dividends from Cerro Verde—when do you expect you will get that money?
Leandro Garcia: Yes. For this proposal of dividends, it has to be approved at the shareholders' meeting. But Daniel, please go ahead.
Daniel Dominguez Vera: Yes, Carlos. The dividend payment should be for April. And regarding Cerro Verde’s dividend, we have already received in January $100,000,000 from Cerro Verde, and we expect $50,000,000 by July and another $50,000,000 by the fourth quarter of this year.
Carlos de Alba: So that is $150,000,000, but I thought you said $200,000,000.
Daniel Dominguez Vera: Yes. $100,000,000 in January, $50,000,000 in July, and in the fourth quarter another $50,000,000.
Carlos de Alba: Okay, got it. Thank you.
Operator: Ladies and gentlemen, with that, I would like to turn the floor back over to Sebastian Valencia Carrasco, Head of Investor Relations, for any webcast questions.
Sebastian Valencia Carrasco: Thanks, operator. At this time, there are no further questions. I would like to turn the call over to Leandro Garcia.
Leandro Garcia: Thank you, Sebastian. Well, before we conclude today's conference call, I would like to thank you for the time and effort dedicated to joining us today. Your participation and input are greatly appreciated. Thank you again and have a wonderful day.
Operator: Ladies and gentlemen, that concludes Compañía de Minas Buenaventura S.A.A.'s Fourth Quarter 2025 Earnings Results Conference Call. We would like to thank you again for your participation. You may now disconnect.